Operator: Hello, and welcome to the Fourth Quarter 2024 AMETEK Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. It is now my pleasure to introduce, Vice President of Investor Relations and Treasurer, Kevin Coleman.
Kevin Coleman: Thank you, Andrew. Good morning and welcome to AMETEK's Fourth Quarter 2024 Earnings Conference Call. Joining me today are Dave Zapico, Chairman and Chief Executive Officer; and Dalip Puri, Executive Vice President and Chief Financial Officer. During the course of today's call, we will be making forward-looking statements which are subject to change based on various risk factors and uncertainties that may cause actual results to differ significantly from expectations. A detailed discussion of the risks and uncertainties that may affect our future results is contained in AMETEK's filings with the SEC. AMETEK disclaims any intention or obligation to update or revise any forward-looking statements. Any references made on this call to 2023 or 2024 results or to 2024 guidance will be on an adjusted basis excluding after tax acquisition-related intangible amortization and excluding a pretax of $29.2 million or $0.10 per diluted share charge in the first quarter of 2024 for integration costs related to the Paragon Medical acquisition. Reconciliations between GAAP and adjusted measures can be found in our press release and on the Investors section of our website. We'll begin today's call with prepared remarks and then open it up for questions. I'll now turn the meeting to Dave.
Dave Zapico: Thank you, Kevin, and good morning, everyone. AMETEK delivered strong results in the fourth quarter, highlighted by robust margin expansion, outstanding cashflow generation, strong organic orders growth and double-digit growth in earnings per share. In the quarter, we established records for sales, operating income, EBITDA and diluted earnings per share as well as for operating cash flow and free cash flow. We also repurchased $155 million in shares during the quarter and this morning we announced the acquisition of Kern Microtechnik for approximately €105 million. Our performance this quarter marks the culmination of a strong year in which we leveraged the proven strength of our operating model to deliver outstanding results despite a challenging economic environment. Now let me turn to our fourth quarter results. Fourth quarter sales were a record $1.76 billion up 2% from the same period in 2023. Organic sales were down 3%, acquisitions added 5 points in the quarter and foreign currency was flat. Orders were solid in the quarter with organic orders up 4% versus the prior year with positive organic growth across both our EIG and EMG segments. And we ended the quarter with a strong backlog of $3.4 billion. AMETEK's operating performance in the fourth quarter was excellent. Our operating income in the quarter was a record $469 million a 5% increase over the fourth quarter of 2023. Operating margins were 26.6% in the quarter, up 90 basis points from the prior year, while core margins, which excluded the dilutive impact from acquisitions were up a sizable 140 basis points. EBITDA in the quarter was a record $561 million up 7% versus the prior year with EBITDA margins an impressive 31.9%. This operating performance led to robust cash generation with free cash flow a record $498 million in the quarter, up 4% versus last year's fourth quarter and free cash flow to net income conversion of 129%. Diluted earnings per share were a record $1.87 up 11% versus the fourth quarter of 2023 and above our guidance range of $1.81 to $1.06 per share. Now let me provide some additional details at the operating group level. First, the Electronic Instruments Group. EIG delivered outstanding performance in the fourth quarter with impressive margin expansion and operating margin levels that reflect the high quality of our businesses. EIG sales were $1.2 billion down 2% from the fourth quarter of last year. Organic sales were down 3% and acquisitions added 1 point. Growth was strongest across our Aerospace and Defense businesses, while our Advanced Optical Metrology businesses, Zygo also saw solid growth in the quarter. Similar to last year, our EIG businesses experienced some project delays in the fourth quarter as customers remain cautious at year end. We view these as temporary delays as the new project pipeline remains strong. EIG operating income was a record $386.6 million up 8% versus the prior year and operating margins were also a record 31.8%, up a robust 280 basis points from the prior year. The Electromechanical Group also finished the year with strong operating performance. EMG's fourth quarter sales were $540 million [Technical Difficulty] from the prior year with organic sales down 4%. Strong performance in our Aerospace and Defense businesses was offset by weaknesses in our OEM exposed businesses, which continued to face headwinds from inventory destocking. EMG's operating income in the fourth quarter was $111.2 million down 1% compared to the prior year period, while EMG's fourth quarter operating margins were 20.3%. Now for the full year, overall performance was strong in 2024 as we established annual records for essentially all key financial metrics. Overall sales for the year were $6.940 billion up 5% from 2023. Operating income for 2024 was $1.81 billion up 6% and operating margins were 26.1% for the full year, up 20 basis points from the prior year with core margins up 120 basis points. EBITDA for the year was $2.18 billion up 8% with EBITDA margins a very strong 31.4%. Full year 2024 earnings were $6.83 per diluted share, up 7% versus the prior year. We also delivered exceptional cash flows in 2024 with free cash flow up 6% versus the prior year and free cash flow to net-to-net income conversion of very strong 124%. AMETEK's performance in 2024 underscores the quality of our businesses, the flexibility of our operating model and the outstanding contributions from all AMETEK colleagues. Our teams navigated a complex macroeconomic environment and delivered strong results, while also ensuring AMETEK is well positioned for long-term success. Now turning to capital deployment and acquisitions. As noted in the fourth quarter, we repurchased approximately $155 million in shares, bringing our total share repurchases for the year to approximately $220 million. While our top priority for capital deployment remains acquisitions, our strong cash flows provide us with the flexibility to also opportunistically repurchase shares. Subsequent to the end of first quarter, we acquired Kern Microtechnik, which we announced this morning. Kern is a leading manufacturer of high-precision machining and optical inspection solutions that achieve industry leading accuracy and surface finish. Kern's highly engineered solutions help customers produce highly complex and precise components used in semiconductor, med tech, space and other high-tech industries. Kern is a strong strategic fit with our Alta Precision Technologies business, expanding our existing capabilities in Ultra High Precision manufacturing and opening up new opportunities to serve customers with growing demands for miniaturization and accuracy. Headquartered near Munich, Germany, Kearns has annual sales of approximately €50 million. I'm excited to welcome all Kern colleagues to the AMETEK family. Looking ahead to 2025, we are managing a strong pipeline of high-quality acquisition candidates. We have a healthy and flexible balance sheet providing us the opportunity to deploy meaningful capital on strategic acquisitions. With our robust balance sheet, significant financial capacity and disciplined approach to capital deployment, AMETEK is well positioned to continue driving long-term value through our acquisition strategy. In addition to acquisitions, we continue to invest in our businesses to best position them for long-term growth. In 2024, we invested approximately $90 million in incremental growth investments largely across research, development and engineering and sales and marketing functions to support their organic growth initiatives. We expect to invest approximately $85 million in incremental growth investments in 2025. These investments and initiatives have strengthened our leadership positions within our niche markets, helped open up new growth opportunities in attractive adjacent markets and accelerated our new product development and technology innovation. One such example of our technology innovation successes can be found in our latest Innovation Award winner at CAMECA. CAMECA 's LEAP series of atom probe microscopes provide 3D imaging and chemical composition characterization of materials at the nanoscale. Historically, the LEAP product line focused on material science and geology applications targeted at highly knowledgeable academic customers at PhD level. CAMECA determined that an enhanced productivity system with high sensitivity and improved yield will broaden the market and support both academic and industrial customers who put a premium on throughput, automation and analytical capability. This led to the development of the new LEAP 6000XR, which provides enhanced ease of use, new automation features for data collection and an improved analytical capabilities. With this new technology, Atom Probe Tomography is now used to study nearly all classes of solid materials from the oldest minerals on earth to the most advanced aerospace alloys. As a result, new applications are emerging due to CAMECA's customer centric approach to innovation. Now shifting to our outlook for the year ahead. We remain cautious as we start the year given the ongoing macroeconomic uncertainties. However, we are encouraged by the strength in orders we experienced in the second half of the year, our strong backlog, our leading positions across a diverse set of markets which are poised for improved growth and our significant capital available to deploy on strategic acquisitions. For 2025, we expect both overall and organic sales to increase low single digits on a percentage basis compared to 2024. Diluted earnings per share for the year are expected to be in the range of $7.02 to $7.18 up 3% to 5% compared to last year's results. For the first quarter, we anticipate overall sales to be roughly flat versus the prior year first quarter with adjusted earnings of $1.67 to $1.69 per share, up 2% to 3% versus the prior year. To summarize, AMETEK delivered a strong finish to the year with solid performance in the fourth quarter reflecting the strength of our portfolio and our ability to execute our growth strategy in a sluggish macro environment. Our differentiated technologies and deep industry expertise continue to position us well in attractive niche markets, providing a solid foundation for future growth. With a focus on innovation, operational excellence and disciplined capital allocation, we are confident in our ability to drive continued growth and create long term value for our shareholders in 2025 and beyond. I will now turn it over to Dalip Puri to cover some of the financial details of the quarter, then we will be glad to take your questions. Dalip?
Dalip Puri: Thank you, Dave, and good morning, everyone. As Dave noted, AMETEK had a strong finish to 2024, establishing records for sales, operating income, earnings per share and cash flow in the quarter. Now let me provide some additional financial highlights for the fourth quarter and the full year as well as some additional guidance for 2025. Starting with general and administrative expenses. Fourth quarter G&A expenses were $28.9 million up $2.5 million from the prior year. For the full year, general and administrative expenses were up approximately $5 million. As a percentage of sales G&A expense was 1.5%, in line with 2023 levels. For 2025, general and administrative expenses are expected to be approximately 1.5% of sales. Fourth quarter other operating expenses were down $1 million compared to the fourth quarter of 2023 due to lower due diligence costs. For 2025, we expect other operating expenses to be largely in line with 2024 level. The effective tax rate in the quarter was 12.8%, down from 17.8% in the fourth quarter of 2023 due to statute expirations. For the full year, the effective tax rate was 17.3%, which was in line with our guidance range of 17% to 17.5%. For 2025, we anticipate our effective tax rate to be between 19% and 20%. As we have stated in the past, actual quarterly tax rates can differ dramatically either positively or negatively from this full year estimated rate. Capital expenditures were $52 million in the fourth quarter and $127 million for the full year. Capital expenditures in 2025 are expected to be approximately $155 million or about 2% of sales. Depreciation and amortization expense in the quarter was $96 million and for the full year was $383 million. In 2025, we expect depreciation and amortization to be approximately $400 million including after tax, acquisition related intangible amortization of approximately $194 million or $0.83 per diluted share. For the quarter, operating working capital was 16.8% of sales. Operating cash flow in the fourth quarter was a record at $550 million up 2% versus the fourth quarter of 2023. Free cash flow was also a record in the quarter, up 4% to $498 million with excellent free cash flow conversion of 129% for the quarter. Free cash flow for 2024 was a record $1.7 billion up 6% versus the prior year, with full year free cash flow conversion also very strong at 124% of net income. For 2025, we expect free cash flow conversion to be approximately 115%. Total debt at year end was $2.1 billion down $1.2 billion from the end of 2023. Offsetting this debt is cash and cash equivalents of $374 million. As Dave noted, we spent approximately $155 million on share repurchases in the fourth quarter, bringing our total share repurchases for the year to approximately $220 million. Additionally, subsequent to the end of fourth quarter, we deployed approximately €105 million on the acquisition of Kern Microtechnik. At the end of 2024, our gross debt to EBITDA ratio was 0.9x and our net debt to EBITDA ratio was 0.8x. We continue to have excellent financial capacity with approximately $2.5 billion of cash and existing credit facilities to support our acquisition strategy and growth initiatives. In summary, we delivered strong fourth quarter and full year 2024 operating results, highlighted by record earnings, robust margins and excellent cash flow generation. With a proven strategy, significant capital deployment capacity and a strong track record of execution, we are well positioned to navigate current trade uncertainties and to drive growth and value creation in 2025. Kevin?
Kevin Coleman: Thanks, Dalip. Andrew, can we please open the lines for questions?
Operator: [Operator Instructions]. Our first question comes from the line of Matt Summerville with D.A. Davidson.
Matt Summerville: Thanks. Good morning, David. Maybe could you talk a little bit about the nature of delays you saw within EIG? And if you started to see some of that break now that we're into February? And then maybe if you could also comment on your views regarding the remaining duration of the OEM destocking, you're continuing to see in EMG? And then I have a follow-up.
Dave Zapico: Sure, Matt. Good morning. The project delays in ERG were pretty much what we've been seeing. It was across the board. It wasn't really notable, but we got some delays on the shipments, but the orders were good. And similar, the destocking headwinds largely impacted our OEM exposed businesses in EMG, which include our Automation and Engineered Solutions sub segment. And but we're starting to see improved order patterns from some OEM customers, while others are taking a little time to destock. We were encouraged by the sequential orders growth in Paragon. We have substantial double digit orders growth. We're also encouraged by the orders in EIG, so both groups were up organically in orders and very positive from that viewpoint and the order strength continued into January. So we're not through the destocking, some customers are through it, some are not, but you can see it definitely easing a bit as we go forward.
Matt Summerville: A follow-up, David, can you talk about where you were with price cost in '24, what your views on that are for '25 and what you see as AMETEK's ultimate level of price capture this year?
Dave Zapico: Thanks. Sure. I think in 2024, the last quarter we ended up pretty much in line with what we were performing throughout the year. We captured a bit more than three and our inflation was a little bit more than two. And going into 2025, we've been pretty conservative in budgeting that we're saying that we'll offset increased price with inflation by a little bit. So we think the environment for inflation, at least what we're seeing is mitigated to a great degree and I think you're in that 1.5% to 2% number for the pricing.
Matt Summerville: Got it. Thank you.
Operator: Thank you. And our next question comes from the line of Jeff Sprague with Vertical Research Partners.
Jeff Sprague: Thank you. Good morning, everyone. David, could you give us a little bit more of an update on Paragon? You mentioned orders were firming up here as we exited the year. Can you just level set us on where we're at revenue base for that business and what you are expecting in 2025?
Dave Zapico: Yes, I mean, to remind everyone, we acquired a business, it's in the med tech space, it manufactures single use and consumable surgical instruments and implantable components in markets with good growth rates, long-term growing markets, excellent engineering capability, leading additive manufacturing capability and a lot of new program wins, which we continue to execute through 2024. In 2024, they're going through a destocking of their customers, but as I said, some of their customers are destocked and they started the order aggressively, but some of the customers are not through the destocking. The net effect of that is sequentially we saw a significant double digit increase in order input. We remain excited about the business. It's the end demand in procedures within their surgical and orthopedic markets remain strong. So we know it's truly a destock as the end procedures are continuing and the inventory is being consumed and we're gaining share with these new programs. So we're investing in the long-term growth that they continue to win new programs. So we also have a combined management team leading Paragon, combination of AMETEK and legacy Paragon management team is functioning well. As I said, the inventory normalization continues to impact the business, but we're working through it. So we're encouraged by that sequential orders growth.
Jeff Sprague: Dave, just to put a finer point on that. So, could we end the year then somewhere around $420 million-ish of revenues in Paragon?
Dave Zapico: Exactly, exactly, Jeff. We're in that ballpark. I'm not going to give the exact number, but you're right on the pen there and we expect that business to grow higher than AMETEK as we move throughout the year and especially in the second half.
Jeff Sprague: And not to overly drill on Paragon, but also just given the restructuring and everything you did last year in the business, can you give us an idea of kind of maybe order of magnitude of margin improvement you're looking for there?
Dave Zapico: Yes, I think from where they're at now, which is the substantial improvement in the next 12 months and that will be it's biased towards the second half, but it will definitely happen and it will be well in excess of the 20 or 30 basis points of margin improvement we're looking at for the whole company, well in excess of that.
Jeff Sprague: Great. I'll pass the baton. Thanks a lot guys.
Dave Zapico: Thank you.
Operator: Thank you. And our next question comes from the line of Jamie Cook with Truist Securities.
Jamie Cook: Hi, good morning. Congrats on a nice quarter. I guess my first question, understanding, the orders have continued to improve, there's some concern out there from investors that the improvement we're seeing in the industrial economy was more of a pre buy based on concerns post election. It doesn't sound like you're seeing any of that, but if you could just comment sort of on the cadence of orders, whether there was anything unusual. And then I guess my second question, understanding you're guiding to, I think you said low single digit growth, it sounds like we're flat in the first quarter. Just trying to understand the cadence of growth that you're expecting again just given some of the uncertainty on the macro? Thank you.
Dave Zapico: Sure. In terms of the cadence for orders, we had a pretty typical quarter where the orders increased every month of the quarter, but and December was the strongest month for the orders, but that's typical cadence, but also for the whole year, December was the strongest month. So that was a good order month. And then in January, that same orders positive orders continued. So the last really since the middle of last year, we started to see an improvement in orders, it's definitely continuing and our customers aren't telling us is to pre buy us to get ahead of tariffs or anything, but it could be, you don't know, but it feels pretty strong from our viewpoint. And as those orders make their way into our backlog, those will make their way into sales as we go forward. We're starting out the year flat as you mentioned. As we move throughout the year, the destock will mitigate and we have good pipelines. So it's a conservative or prudent start to the year is the way we're looking at it.
Jamie Cook: Thank you.
Dave Zapico: Thank you, Jamie.
Operator: Thank you. And our next question comes from the line of Andrew Buscaglia with BNP Paribas.
Dave Zapico: You're breaking up. Andrew, why don't we put him on hold and we'll go to the next caller.
Operator: Certainly. One moment please. And our next question comes from the line of Brett Linzey with Mizuho.
Brett Linzey: Hey, good morning all. Just want to come back to the project comments, the softness at the end of the year. It sounds like the pipeline is building and maybe strong, so front log looks pretty good. Are customers giving you any indication on the timing of when these projects might release? And how are you thinking about ES, Engineered Solutions, backlog conversion as part of the guidance construct?
Dave Zapico: Yes. I think that we have a really good pipeline and it's going to play out in 2025 and expecting to see projects that have been delayed are now moving. In terms of the A&ES piece of the business, I think that's where we're suffering from the OEM destock the most. And I think in the automation side of the business, we've bottomed and it's a great place to grow from where we're at right now. And on the med tech side of the business, we've already started to see the destock abate. So that's where we are and that will play out in our guidance throughout the year and we expect those two businesses to do better as we progress throughout the year.
Brett Linzey: Okay, great. And maybe just shifting over to Aerospace and Defense, could you give us an update on how you're thinking about the outlook on aero versus defense? I know a lot of moving pieces there. And then anything to think about in terms of profitability as we shift to more OE versus aftermarket and what you're embedding there in the guide for the year? Thanks.
Dave Zapico: Sure. Our A&D business, it had another strong year and in the fourth quarter it was up mid-single digits, it was up high single digits for the year, mid-single digits for the quarter. Growth in the fourth quarter was strongest across our commercial businesses. So we already saw the OE component of the sales go up in the fourth quarter, we make a lot of money on OE, a lot of money on aftermarket, so I don't think there's a margin concern there. We think in 2025, it's going to grow at mid-single digits and we're seeing strength in both our commercial and defense markets. So commercial may be a bit stronger than defense, but both of those will be healthy growers in 2025.
Brett Linzey: All right. Appreciate the insight.
Dave Zapico: Thank you.
Operator: Thank you. And our next question comes from the line of Rob Wertheimer with Melius Research.
Rob Wertheimer: Thank you. Good morning, everybody. So margin performance was very strong, especially given just the soft core environment. I wonder, can you just talk in general about how you approached cost and margin through the quarter? Was this a bit of a batten down the hatches? Is this normal improvement flowing through? Is acquisition improvement flowing through? Maybe just characterize how you see the margin improve in the quarter?
Dave Zapico: Yes. I think the it's AMETEK operational excellence. We had an excellent operating quarter. We have reported margins were up 90 points and core margins were up 140 basis points. And we got good productivity, we got good positive price cost, good mix. So it was a good quarter for margins, but we've been delivering good margins for year after year for a long time. I mean for the year, our core margins were up 120 basis points and I don't see any reason that that's going to stop. It's our DNA. We're constantly working on operational excellence programs and we're executing them and we have high contribution margin businesses that are contributing to it. So the margin performance was good, it was very good. We had some records that we set, but it was kind of expected.
Rob Wertheimer: Okay, perfect. So nothing dramatic and negative. This one may be a little tricky to answer because there's obviously a lot of back and forth going on in government policy right now. But is there any hiccups or stutters you're seeing in potential future demand or current demand from funding that might flow through to laboratories, test measurement, scientific instruments and so forth? And I'll stop there. Thank you.
Dave Zapico: Yeah. I don't see any specific thing that's going to hurt the laboratory demand. I mean, I will say one thing about the laboratory demand, it's very strong internationally right now. So that's driving it more so than the U.S. When I think about the overall regulatory environment, I think some of the things with the new administration are positive. We have regulatory relief, we're looking forward to projects moving ahead faster. There's a different approach to antitrust. We have a focus on energy development, that's good for us. There's an increased focus on military spending and that's good for us. There's lower taxes for products manufactured in the U.S., we do a lot of manufacturing in the U.S., there's tax breaks plan to boost equipment investment. So I think a lot of those pro-growth policies can be really positive for us. And as a U.S. manufacturer with a lot of capability in the U.S. with a significant U.S. manufacturing footprint provides many options and opportunities depending how the situation develops. We have a flexible asset light model, consistent with our strategy and we think as we get throughout this year, we'll see some opportunities develop.
Rob Wertheimer: Thank you.
Dave Zapico: Okay, Rob.
Operator: Thank you. And our next question comes from the line of Andrew Obin with Bank of America.
Andrew Obin: Yes, good morning.
Dave Zapico: Hello, Andrew.
Andrew Obin: Just to clarify, what's organic growth rate that's embedded in your first quarter guidance?
Dave Zapico: Let me see. We it's a flattish number, Andrew. So both the total sales and organic sales were flat.
Andrew Obin: Okay. So we are accelerating organically from fourth quarter to the Q1?
Dave Zapico: Yes, we're going from the -2, -3 to a flat. So the organic growth is accelerating from Q4 to Q1 and is tied to the acceleration in order input to organic orders. So, I think that's going to continue throughout the year. So as those organic orders were strong, our sequential quarters, the organic growth will be increased versus fourth quarter and it's just a continuation of a slow acceleration to the year.
Andrew Obin: Got you. And just sort of combining the two questions, first, how did you all this tariff noise, do we see it in the guidance? And also how does FX impact your 2025 outlook because you are a meaningful U.S. exporter? So how should we think about the impact both on the revenue and margin? Thank you.
Dave Zapico: Yes, they're good questions. And the guidance we have taken into account, the things that we've heard about over the last few days, few weeks, but we've been making contingency plans since shortly after the elections for tariffs. And our 2017 and 2018 playbook is relevant. That's when we executed a China for China manufacturing strategy and decoupled our supply chains from China, we executed flawlessly and we're ready to do the same thing now if it's required. We manufacture niche, highly differentiated products. We plan to pass on the cost impact of the tariffs if the tariffs get enacted to our customers as we have done previously. We have a significant U.S. manufacturing footprint, as I said, as a flexible asset light model, so we're very agile. And I think that we're well positioned to manage through the current environment. I mean our guidance doesn't take into account, doesn't assume a broader economic slowdown because of an escalating trade war to be clear with that, no demand destruction is assumed in our budget. But with everything that we know of and with our past success and decoupling our supply chains from China and with our operational capability, we think we're ready for this and we got it covered.
Dalip Puri: And Andrew on foreign exchange, obviously we're a global business, but we are primarily a U.S. dollar centric business. So our top line is not overly exposed to foreign exchange. And we have a very balanced foreign exchange footprint at the profit and cash flow level through natural offsets. So we can very much we're not impacted by broad based U.S. dollar movement. And I think the last few years, you've seen a lot of FX volatility and it hasn't impacted our bottom line.
Andrew Obin: All right. Thanks so much.
Dave Zapico: Thank you, Andrew.
Operator: Thank you. And our next question comes from the line of Christopher Glynn with Oppenheimer
Christopher Glynn: Thanks. A lot of ground covered. Just curious on current, Dave, how you think about the size of the addressable market? What's the competition like and how long you've been looking at that business?
Dave Zapico: Sure, Chris. It's part of our Ultra Precision Technology division and we bought a business in that part of our company about 15 years ago named Precitech and they build what's called diamond turning machines that make these surfaces that are incredibly precise optical surfaces and the business has done extremely well for AMETEK. And we look at Kern as kind of a sister company with some different technology. And we think Kern is they also do submicron level accuracy systems. Their end markets are places that need exceptional levels of precision. That includes the medical market, the semiconductor market, the research market, the space market and there's a lot of opportunities to us to grow this business and running them as sister companies with our Precitech business. We have capabilities that solves a bigger set of solutions for the customers. It's typical AMETEK acquisition, highly differentiated, high precision, leader in niches, really works for the miniaturization that's going on in the technology world. We got a fair price worth, management team is staying with us and we think it's going to be a good acquisition and most of the sales are exported outside of Germany. They're a German company, but over 70% of their sales are all outside of Germany. So the world goes to Munich to get the best systems and it fits well within AMETEK's family of businesses.
Christopher Glynn: Great, thanks. And just kind of a churning part of the cycle to a degree here. Several years ago, you went through some divestitures. As you look at things play out now, realizing you've really shrunk oil and metals for instance. Are there any areas of the portfolio that are bubbling up for potential divestiture?
Dave Zapico: Yes, we go through that strategic analysis every year and we went through it this year and there's nothing that's going to impact our guide. There's nothing large or substantial. There may be some smaller plans or things that we continue to act on during the course of the year, but these will be inconsequential and we like the portfolio that we have right now.
Christopher Glynn: Great. Thanks a lot.
Dave Zapico: Thank you, Chris.
Operator: Thank you. And our next question comes from the line of Nigel Coe with Wolfe Research.
Nigel Coe: Thanks. Good morning. Lots of information so far, but I'm sorry if I missed this David. What is the organic I think low single digit for the full year, but what is the how does that break out between EMG and EIG? And I'm just curious if you're seeing a stronger rebound in EMG just given that Paragon and Automation were quite badly impacted by destocking. So I'm just wondering if you're factoring in a stronger rebound in those two businesses.
Dave Zapico: EMG is going to have slightly higher organic growth than EIG, so it's going to be a bit higher. It's going to be low single digit for the year and but EMG is going to be a bit higher.
Nigel Coe: A little bit higher. Okay. That's great. And then just the EMG margins in fourth quarter, I mean, obviously, EIG was spectacular, but EMG came in a bit lighter. And I know that there's typically some production disabsorption in the fourth quarter. Just wondering, was there any intentional like extended production shortfalls in the fourth quarter?
Dave Zapico: No, it's the calendar effect and we're going through a destocking there and our automation business is extremely profitable and it's down substantially with it. So we had core margins down over 100 basis points in that part of the business. And the good thing is we've leaned out the cost structure and we're really at a good place to grow. So as destocking abates and that business has bottomed, we're looking forward to when that turns, it should be some profitable sales for us.
Nigel Coe: And then just a quick follow on to that comment about automation margins. Are you expecting automation to be back to positive organic growth in the first quarter next year or this year?
Dave Zapico: Yes, the automation business is lagging the medical business a bit. So we will have to see how that plays out.
Nigel Coe: Okay. Thanks, Dave.
Operator: Thank you. One moment please. Our next question comes from the line of Joe Giordano with TD Cowen.
Joe Giordano: Hey, guys. Good morning. I'm not sure. Did you give the actual order number or the book to bill for the quarter? I if you did, I apologize.
Dave Zapico: Yeah. Let me let me, grab that. The organic orders were 4%. The book-to-bill was 1.01 if we exclude FX on the backlog. And both I guess both grew for positive, EMG was a little bit more positive than EIG, but they were both strong.
Joe Giordano: And then can you walk us through just I think you mentioned in the outlook the view for Aerospace and Defense. So can you kind of do your walk with like the 2024 actual and like the View? Thank you.
Dave Zapico: Yes. We forgot that we didn't get to that yet. So on the process side, the process declined low single digits in the fourth quarter. We saw strong growth in the quarter within our advanced optical metrology businesses as well as our high-end microscopy business had a good quarter. And similar to last year, we experienced some temporary delays -- similar to last quarter, we experienced some temporary delays in project spending. And then looking forward to 2025, we expect organic sales for our process businesses to be up low single digits for the full year. And then I talked about the Aerospace and Defense business already and there we expect ongoing strength in both Commercial and Defense and to be up mid-single digits for 2025. So process, low aerospace and defense, mid. Then you go to Power and Industrial, our sales were flat in the fourth quarter. Our RTDS business, which provides advanced power simulation systems to utilities and research institutions saw good growth in the quarter. For 2025, we expect organic sales for our Power and Industrial businesses to remain flat relative to 2024 levels. And finally, the Automation and Engineered Solutions business, overall sales were up low double digits, driven by the contributions from the Paragon acquisition. Organic sales were down high single digits in the quarter consistent with the levels we've seen during the year given the continued normalization of our OEM customer inventories. And for 2025, we expect organic sales to be up mid-single digits for the year with improving growth trends throughout the year.
Joe Giordano: Thank you.
Dave Zapico: Okay, Joe.
Operator: Thank you. And our next question comes from the line of Deane Dray with RBC Capital Markets.
Deane Dray: Hi, good morning. This is Sahil Manocha on for Deane Dray. Can you provide any context on the $85 million in growth investments? How is that split between segment and is that adding mostly sales and engineering and what was the 2024 growth investment?
Dave Zapico: The 2024 was $90 million and the 2025 is $85 million, so they're very close. And again, that's the incremental spend and it's largely research, development and engineering spend. So I'd say 2/3 of the $85 million is RD&E and about 1/3 of it is additional marketing channel sales and marketing work. So about 2/3, 1/3 and it's biased toward EIG largely because of the size of EIG. So it's pretty it's across the whole company biased to EIG.
Deane Dray: Got it. And then, the vitality index reached 28% in the third quarter, I believe, which you noted was strong level within the target range of 20% to 30%. Could you discuss the new product intros that you're most excited about for 2025? And how do you see the vitality index trending?
Dave Zapico: Yes, we talk about a vitality index being between 20% to 30% is a good number and we didn't mention it, but actually it was extremely high in Q4 30%. So it was one of our highest numbers. So the new product engine is working and that's why we have such a strong pipeline of new orders and I think it's going to pay off next year. We think a number like 20% to 30% is a good number for us and we started tracking this, it was down in the low teens, mid-teens many years ago. So we think it's a good number now. It's a way that we can look at the investments we're putting in and making sure we're adding value to our customers. It shows up in pricing also, we can get premium prices by adding features to products and having providing new value to our customers that we weren't providing before. So it's a healthy amount, we spend a healthy amount of RD&E and given our niche market focus and technology leadership, innovation leadership that matches the strategy of the company.
Deane Dray: Awesome. Thank you.
Dave Zapico: Thank you.
Operator: Thank you. And our next question comes from the line of Robert Mason with Baird.
Robert Mason: Yes. Good morning, Dave, Dalip. Dave, you had mentioned earlier that your Labs business, you were seeing strength more just call it rest of world versus the U.S. right now. Can you drill into that a little bit? Is that your own overlay or footprint where you're exposed or differences in government priorities or just what's maybe driving that difference?
Dave Zapico: It could be government priorities, it could be channel investments we made, but the place that we're seeing a lot of lab expansion work is in Asia. So Asia, the market is healthy everywhere, but Asia is particularly healthy.
Robert Mason: Maybe just to continue the thought there, relative to your 2025 guidance, could you provide kind of a geographic overlay to that, just how you're thinking about the regions for 2025?
Dave Zapico: Yes, I'll talk about 2024 -- where we ended up in 2024, we had essentially strong growth in Europe and Asia offset by some declines in the U.S. So if you look at the full year, we had about plus 2 internationally and down MSD in the U.S. And that was largely our automation business that was down in the U.S. So in places like in Asia, we were up and China was roughly flat. So that's kind of hanging in there for us. And when we think about 2025, we're looking for all regions to grow. We're thinking we actually see some strength in Europe. Like I said, we were plus 2% in Europe and some strength in Europe. We think some of the strength in Asia is going to continue, maybe more strength outside of China than in China. We have good channels there and we think the U.S. is going to return to growth for us. So it will be balanced growth across all geographies.
Robert Mason: When you said China was flat, was that a Q4 number or a full year?
Dave Zapico: I think it was a full year number.
Robert Mason: Okay, very good. Thank you.
Dave Zapico: Thank you, Rob.
Operator: Thank you. And our next question comes from the line of Andrew Buscaglia with BNP Paribas.
Andrew Buscaglia: Hey, good morning, guys.
Dave Zapico: Can hear you fine.
Andrew Buscaglia: Yes, good morning.
Dave Zapico: Good morning.
Andrew Buscaglia: Good. Yes, sorry about that earlier. I'm not sure what happened. So, yes, I wanted to touch on your orders. You're saying are up 4%, and you had some good commentary just about your subsegments for sales. But what about it sounds like orders are getting a little bit better, the momentum is picking up. What about order momentum in each subsegment? Where is that coming from?
Dave Zapico: Yes, I think that what you really have is in the sub segments, the big thing in the Automation and Engineered Solutions, that was the destock abating and we're starting to see some of the customers place orders now specifically in the med tech area. So that's positive. And on the automation part of the business, we think it's bottomed and we've got a lean out cost structure. So we're optimistic about what that's going to do when it increases. The process and the power businesses, we think we're well positioned and those are the project businesses, we saw some delays, we're hoping that those are going to abate a bit and quoting a lot of activity, good pipelines there. And then in Aerospace and Defense, it's pretty much steady. We think both our military and our commercial aftermarket is going to do well, ongoing strength in both sides of it.
Andrew Buscaglia: Yes, okay. And yes, you are generating a ton of cash, great cash flow in the quarter. This year, are we going to see a series of sort of like current deals or you expect like another Paragon-ish size deal in 2025?
Dave Zapico: That's a great question. I mean, right now we have bigger deals in our pipeline and we also have smaller technology deals, what I put Kern in our pipeline. So, and we have we could probably spend $5 billion in 2025 on deals and we'd still only have a debt to EBITDA of about $2.5 billion the way we calculate it. So we're very aggressive in that area and there's properties, businesses that people were holding back on. It seems like the market is picking up a bit. So we think with our strong balance sheet, we're going to be able to get deals done, we're going to be able to be opportunistic with share buybacks and we're going to reward our shareholders -- long-term shareholders with an ever increasing dividend, small dividend, but ever increasing. So we have a balance sheet where we can do it all and we're going to do it all. But I think the most optimism is in the M&A area right now.
Andrew Buscaglia: Yes, okay. Thank you.
Dave Zapico: Thank you.
Operator: Thank you. I'll now hand the call back over to Vice President, Investor Relations and Treasurer, Kevin Coleman for any closing remarks.
Kevin Coleman: Thank you, Andrew, and thanks everyone for joining our call today. And as a reminder, a replay of the webcast can be accessed in the Investors section of ametek.com. Have a great day.
Operator: [Operator Closing Remarks].